Operator: Welcome to the Fiserv Fourth Quarter 2013 Earnings Conference Call. [Operator Instructions] Today's call is being broadcast live over the Internet at fiserv.com, and is being recorded for future reference. In addition, there are supplemental materials for today's call available at the company's website. To access those materials, go to the company's website and click on the link in the Events section of its home page. The call is expected to last about an hour, and you may disconnect from the call at any time. Now I'll turn the call over to Stephanie Gregor, Vice President of Investor Relations at Fiserv.
Stephanie Gregor: Thank you, and welcome to our call. With me today are Jeff Yabuki, our Chief Executive Officer; Tom Hirsch, our Chief Financial Officer; and Mark Ernst, our Chief Operating Officer. Our remarks today will include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. We will make forward-looking statements about, among other matters, expected operating and financial results and strategic initiatives. Forward-looking statements may differ materially from actual results and are subject to a number of risks and uncertainties. Please refer to our earnings release, which can be found on our website at fiserv.com, for a discussion of these risk factors. You should also refer to our earnings release and the supplemental materials for today's call for an explanation of the non-GAAP financial measures discussed in this conference call, and for a reconciliation of those measures to the nearest applicable GAAP measures. These non-GAAP measures are indicators that management uses to provide additional meaningful comparisons between current results and prior reported results, and as a basis for planning and forecasting for future periods. As a note, all of the data in the press release, supplemental materials and our comments today reflect our 2-for-1 stock split, which was completed on December 16. With that, let me turn the call over to Jeff.
Jeffery Yabuki: Thanks, Stephanie, and good afternoon, everyone. We closed out an excellent 2013 with solid fourth quarter results. We integrated Open Solutions, delivered new innovation to the market, grew sales and achieved our full year financial goals, including our 28th consecutive year of double-digit adjusted earnings per share growth. Adjusted revenue increased 10%, both in the quarter and for the year. Adjusted internal revenue growth was 4% in the quarter and 3% for the full year. Adjusted earnings per share increased 14% for the quarter and 18% for the year. Adjusted operating margin increased 30 basis points for the year due to high-quality growth in our recurring revenue businesses, the benefits of synergies and operational efficiencies. Our strong financial performance translated into free cash flow of nearly $900 million for the year and a stellar 20% increase in free cash flow per share, both measures exceeding our expectations for the year. Sales also finished strong, attaining 138% of quota in the quarter, before the strong performance of Open Solutions. Our market momentum gives us confidence in an accelerating internal revenue growth rate as the new revenue comes online. Early in '13, we provided 3 enterprise priorities to help you gauge our overall progress, and we're pleased with our results this year. The first priority was to continue to build high quality revenue growth and meet our earnings commitments. Next, to extend market momentum into deeper client relationships with a larger share of our strategic solutions. And last, to deliver innovation and integration that enhances results for our clients, with an important focus on Open Solutions. As I mentioned upfront, we met or exceeded each of our 2013 financial commitments. Our adjusted internal revenue growth rate increased to 3% from 2% in 2012. And our focus on high-quality revenue and operational efficiency allows us to drive strong earnings growth while investing for the future. We also know that cash flow conversion matters, which is reflected in our 16% growth in free cash flow and 20% increase in free cash flow per share. We had strong consumer transaction growth in areas such as debit, person-to-person payments and mobile. We also saw growth return in our electronic bill payment business with transactions finishing the year up 7%, primarily from new client implementations. Our second priority was deepening client relationships with a larger share of our strategic solutions. At our recent Investor Day, we discussed a variety of topics, including our account processing momentum in the mid to large bank and large credit union market segments. Since we met on December 10, we closed 4 more sizable wins in these important market segments, further validating our strong value proposition for these institutions. We also added more than 400 Mobiliti clients and nearly 1 million new Mobiliti ASP subscribers this year, more than doubling the number of users. Since launching our tablet ASP solution last April, we've signed more than 200 institutions and got over 100 of these clients live in the fourth quarter. We remain focused on enabling our clients with the best-in-class digital solution as they transform the financial experience for their customers. Speaking of which, our third priority was to deliver innovation and integration with an important focus on Open Solutions. Innovation is a critical market differentiator as we partner with our clients. As one of several proof points, we filed for 22 new patents in 2013 to further drive client success. During 2013, we also received a number of third-party recognitions for our mobile technologies and are generally recognized as having the leading solutions in the market. In 2014, we'll go live with a new user experience for our Online Banking solution, which reflects today's consumer preferences, including a seamless design across all digital devices. We launched Snap to Pay, which allows a consumer to take a picture of their bill and easily setup a new biller in our bill payment solution. This product leverages camera functionality and encourages increased usage. Real-time movement of non-point of sale payment transactions is a unique opportunity, where financial institutions can deliver both value to their customers and grow their revenue. From 0, we signed over 150 institutions for Popmoney Instant Payments during the year. We believe that real-time will become the norm. And we expect to lead the charge in the new way money moves in this large untapped arena. Speaking of moving money now, same-day expedited bill payments were up more than 140% year-over-year. And we expect this growth to accelerate as we expand availability across the 1.5 billion bill payments we process each year. One of our highlights is the integration of Open Solutions. The market's receptivity to our acquisition has been beyond positive, which is manifesting in less client attrition, a larger add-on sales opportunity than we anticipated, and meaningful sales momentum in DNA and other acquired solutions, such as Weiland Account Analysis and CUnify for account processing. As I shared at Investor Day, we increased our original revenue and cost synergy targets to exceed $100 million and $60 million, respectively. We beat our original 2013 synergy objectives and are well positioned going into '14. We closed another 10 DNA sales in the quarter, bringing the total to 31 new sales as compared to only 10 in 2012. Our new sales tended to be larger, multiproduct license and outsource implementations, which will primarily go live in the second half of 2014 and 2015, which means a substantial portion of this revenue is deferred into the future. Earlier today, we announced that Washington Federal, one of the country's 100 largest banks with 235 locations and assets over $14 billion, became the largest bank to ever select DNA. They were looking for an in-house, real-time account processing solution to anchor their technology vision. DNA, integrated with market-leading capabilities such as Corillian, Mobiliti and a variety of Fiserv's payment solutions, will provide this rapidly growing institution the foundation for a differentiated customer experience. On that note, let me turn the call over to Tom to provide additional details on our results.
Thomas Hirsch: Thanks, Jeff, and good afternoon, everyone. Adjusted revenue for the quarter and full year increased 10% to $1.2 billion and $4.5 billion, respectively. Adjusted internal revenue growth accelerated to 4% in the fourth quarter. That was within the expectations we shared with you in the third quarter. Internal growth in both the Financial and Payments segments was led by strength in our high quality recurring revenue businesses. Full year adjusted internal revenue growth of 3% was also in line with our expectations. Adjusted earnings per share for the quarter was $0.79, up 14% over the prior year's quarter. And for the full year, increased 18% to $2.99. Adjusted operating margin for the quarter of 30.5% was down slightly compared to the fourth quarter of last year. Margin performance was negatively impacted in 2 primary areas. As we previewed in the third quarter, corporate expenses were up in the fourth quarter. And given our strong finish, we also had higher variable compensation expense from both commissions and incentive compensation. Overall, the Corporate segment had a 100-basis-point negative impact on operating margin in the quarter. For the full year, overall margin increased 30 basis points to 30%, in line with our guidance. Overall margin expansion was driven by high quality revenue growth, excellent Operational Effectiveness results and Open synergies, offset by a couple of larger headwinds coming into the year. At the segment level, adjusted internal revenue in Payments grew 6% in the quarter to $596 million. Growth in the segment for the full year was 5%, accelerating from 2% in 2012. Segment revenue growth was led by strong performance across a number of businesses in the segment. Although we did see some continuation of the transactions following the industry experience at the end of the third quarter, we still recorded solid transaction growth. Debit transactions grew 13%, and we recorded 9% transaction growth in our bill payment business for the quarter. We added to our Payments momentum with these mission-critical solutions, signing 44 debit clients and 96 new bill payment clients in the quarter. And for the full year, added 145 and 335 new clients, respectively. Payments segment adjusted operating income was up 5% in the quarter to $184 million. And for the year, increased 7% to $702 million. Fourth quarter adjusted operating margin of 30.9% is up slightly sequentially and down 50 basis points compared to the prior year's quarter, primarily due to the mix of revenue, including lower license revenue and the higher variable compensation, as I mentioned earlier. For the full year, segment operating margin was up 50 basis points to 31%, driven by growth in our scale businesses and operational efficiencies, partially offset by the revenue impact of the Bank of America bill payment renewal. Adjusted revenue in the Financial segment increased 15% to $600 million and 14% to $2.3 billion for the quarter and full year, respectively, primarily due to the acquisition of Open. Adjusted internal revenue growth in the Financial segment was 2% in the quarter and flat for the full year. Revenue growth in the quarter was driven by our account processing and lending businesses. Adjusted operating income in the Financial segment was up 20% in the quarter to $208 million, and up 17% for the year to $761 million. Adjusted operating margin was strong in the quarter, increasing by 140 basis points to 34.5%, and by 60 basis points to 32.6% for the full year when compared to the prior year period. Scale efficiencies and Operational Effectiveness savings, including Open synergies, were the primary drivers for increases in adjusted operating margin. The adjusted operating loss in the Corporate segment for the quarter was $30 million, up sequentially and versus the prior year, as I discussed earlier. This was primarily due to higher variable compensation associated with the strong close to the year, unusually lower prior year expenses and increased expenses associated with the implementation of a new HR system. The adjusted effective tax rate for the quarter was 35.8%, and for the full year was 34.8%, in line with our expectations. For 2014, we expect our tax rate to be slightly above 35%. We anticipate a number of discrete tax benefits, primarily in the second quarter, which should largely offset the combined negative impact of the R&D tax credit not yet renewed and certain nonrecurring discrete tax benefits recorded in 2013. We recorded a gain in our GAAP results related to a partial divestiture of a business within our StoneRiver joint venture. This after-tax gain of $54 million has been excluded from our adjusted earnings per share results. Given this divestiture and other activity within StoneRiver, we anticipate our after-tax adjusted equity earnings to be down about $5 million or $0.02 per share in 2014. Operating cash flow was very strong in the quarter and at a record level of more than $1 billion for the year. Free cash flow per share was exceptional, increasing 20% to $3.33 as a result of earnings growth, improvements in working capital and continued capital discipline. Total debt at year end was $3.8 billion or 2.4x trailing 12 months adjusted EBITDA, which is within our target leverage ratio. Adjusted for our December stock split, we repurchased 2.3 million shares of stock in the quarter for $124 million. And for the year, returned $587 million to shareholders through the repurchase of 12.6 million shares at an average cost of approximately $47 per share. There were 18.5 million shares remaining authorized for repurchase and 256.7 million shares outstanding at the end of the year. With that, I will turn the call back to Jeff.
Jeffery Yabuki: Thanks, Tom. As I mentioned upfront, sales, excluding Open Solutions, were strong, attaining 138% of quota in the quarter and 108% of quota for the full year. Excellent results in account processing and digital channels led our performance in the quarter. Actual total contract value for the year increased 6%, excluding Open, which is excellent performance, given the record number of larger bill payment sales in the prior year. The TCV of our larger sales transactions has continued to grow, which is an important marker of future growth. The aggregate value of our top 10 deals for 2013 was 20% higher than the prior year and more than 50% greater than the value in 2011. While the revenue from these transactions tend to come on slowly due primarily to size and complexity, this tends to be high quality recurring revenue that should provide an uplift to internal revenue growth over the next several years. Integrated sales were $244 million for the year, up 29% over the prior year, beating our $210 million target easily. Sales were strong across a broad range of market-leading solutions, including bill payment, debit, statements, Mobiliti and source capture. We exceeded our Operational Effectiveness goal of $60 million, which includes the Open Solutions cost synergy target, by 35%. We achieved $81 million of savings for the year on the strength of greater-than-expected Open cost synergy attainment and solid execution of our Operational Effectiveness objectives. Exiting year 3 of this 5-year program, we've generated $188 million of annual savings, which puts us 50% ahead of our scheduled target. The market environment has showed continuing stability. There were only 5 regulatory actions in the quarter and 40 for the full year, which is down 38% over 2012. We expect only a handful of regulatory actions this year. Targeted M&A continues to be active, and we expect that trend to continue as institutions look for better ways to leverage their business models. Our view of the landscape remains the same as we highlighted at Investor Day, with financial institutions focusing their technology spend on solutions that generate revenue, deal with an uncertain and complex regulatory environment or focus on operational efficiency. Our key priorities for 2014 are generally in line with our 2013 priorities. First, to continue to build high quality revenue growth while meeting our earnings commitments. Second, extend market momentum deeper into client relationships with a larger share of our strategic solutions. And third, deliver innovation and integration, which enhances results for our clients. Now let me provide context for our 2014 guidance. As you know, our focus is to sustainably accelerate our revenue growth rate through the addition of high-quality revenue, which we define as revenue that is recurring, has high cash flow conversion and is generally accretive to our company operating margin. We are executing our plans and are pleased that our 2014 internal revenue growth expectation is within our long-term outlook. In 2013, we increased our internal revenue growth rate to 3% from the 2% in 2012. As you saw in our release, we expect to achieve 4% to 4.5% internal revenue growth in '14, which, again, steps up our internal revenue growth rate at least 1%. As we mentioned at Investor Day, we do have some notable headwinds impacting us this year, albeit at a reduced rate compared to 2013. In our biller businesses, we have some large client attrition, primarily associated with acquisitions of our clients. We also have a couple of large online banking implementations in our international operations that are going live, that will have a negative impact on year-over-year growth. We estimate that the more significant revenue headwinds this year are about 1/2 of what we dealt with last year, which provides a benefit to 2014 and should further abate next year. While we are clearly not giving 2015 guidance today, we expect to exit '14, given current signings, backlog and pipeline, pointed towards another incremental step up in internal revenue growth. Now let's move on to our actual outlook for '14. We expect adjusted revenue growth of 4% to 5%. And as I just mentioned, we expect adjusted internal revenue growth of 4% to 4.5%. We expect adjusted earnings per share growth of 10% to 13% or in a range of $3.28 to $3.37. We anticipate growth in revenue and operating earnings to be stronger in the second half of '14, primarily due to the mix of sales and the timing of client implementations. We estimate free cash flow per share will be up at least 10% to $3.65 or greater, on top of our exceptional performance in 2013. We also anticipate that adjusted operating margin will increase at least 50 basis points for the full year. Our Operational Effectiveness target for 2014 is $60 million, which includes the impact of Open Solutions synergies. And last, our integrated sales target, which includes revenue synergies related to the Open Solutions acquisition, to be $250 million. In closing, we're pleased with our 2013 performance. We acquired and integrated Open Solutions, moved our strategies forward, grew recurring revenue, delivered record earnings and free cash flow, and added to sales momentum. Each consistent with the targets we laid out early in the year. And as important, the success we had last year sets us up for additional revenue growth acceleration, along with strong financial performance in 2014. However, none of this happens without the collective effort of our more than 21,000 associates who are committed to our clients and are truly the engine of your company. With that, Angie, let's open the line for questions.
Operator: [Operator Instructions] Our first question comes from Dave Koning from Baird.
David Koning: I guess my first question just bill payment, you've done a tremendous job accelerating revenue growth there with the signings. And you've had a few quarters of high-single to low-double digit transaction growth. And I'm wondering, how much of that is from the new wins and how much is kind of underlying growth? And kind of what's the sustainable growth kind of over time in that business?
Jeffery Yabuki: Yes, it's a good question, Dave. I mean, we, clearly, with the size of the conversions that we had in '13, a lot of that growth came from migrating the new clients on the system. As they get on, we expect those newer institutions to move up to a more normal rate, as we would see within our base. And so we expect to have better-than-average growth from those larger institutions in '14 as compared to their peers who are more mature within our system. We have, as I mentioned, or as we've mentioned, we have some larger implementations coming on in '14, and we think that will definitely help. And we have some platform changes that we're making. There was a release that we put out in the last month or so around the gamification of our experience. And we expect that, that will actually have some pretty intriguing sustainable growth characteristics, although we won't see that really until 2015. I would say the only drag that we have, and we've had it for the majority of this year as well, is our largest client, which is, obviously, Bank of America. As we move through the repricing, Bank of America has just not grown at the level that we've seen across some of our other clients. And because of the size of that, it tends to drag on our rate a lot. But across the universe, we feel good about where we are. We feel quite good about the implementations we have going on in '14. And frankly, we ended up having a very strong fourth quarter. And those implementations will happen later in the year and then into '15 as well.
David Koning: Great. Okay. And then I just -- just my second question. We got in touch with a bunch of banks lately, and just asked them what they thought about EMV requirements that might be coming up. And certainly, there's a lot of moving parts still on how it's all going to play out. But one thing that kept coming up is they would say, "We'll just ask Fiserv what to do when the time comes." And so it seems like that could potentially be a good opportunity. But I'm wondering how to think about that. Is that something that you get paid for to kind of consult them and to send out all the new cards? How should we think about that?
Jeffery Yabuki: Sure. And Dave, I think as you know, we have a couple of different businesses in that space. We, obviously, have our debit business, our debit processing business, and we have some consulting services that are in there as well. And we're working with clients to help them optimize their revenue, reduce their fraud and deliver more profitability on a card-by-card basis. The second business that we have is our output solutions business, which is actually a plastics manufacturer. And so in that business, we, actually about 1 year, 1.5 years ago, made significant investments to prepare for EMV. So we are quite ready for EMV. And so as that occurs and as EMV moves through the system, which I believe the mandate is sometime in '15, which will take several years to actually get fully rolled out, but we do expect that -- we would expect that to have a positive impact on our reissuing of cards. It's hard to quantify exactly what that is, but I would certainly qualify that as a tailwind moving forward. I can tell you that as we sit here today, we've not assumed that the incidents that we're seeing in the market have any meaningful impact on the EMV timeframe. That said, I do expect that the outcomes of these kinds of issues will, in fact, have some impact. And I think as we move through the year, we'll be able to give you better insights into how that will impact our results.
Operator: Darrin Peller from Barclays.
Darrin Peller: I want to start off first with the guidance that you gave for both top line and first, I guess. When we look at the end of the year run rate and your Payments growth rate being as strong as it was at 6%, and even Financial, obviously, accelerating nice, had a fairly decent pickup. And we couple that with -- I know some of the headwinds that you had been talking about abating at the end of December, rolling off, it just seems like the 4% to 4.5%, does that account for -- how much headwinds, if you can get a little more granular with what actually rolled off from a headwinds standpoint and what's coming on from a headwinds standpoint? And then I guess on top of that, maybe you can expand further, it seems like the Payments mix, being more mobile banking, being more bill pay, more PIN debit, should drive really a better and better growth rate in that Payments segment through the year and through '15 as well, which one would think would drive a better accelerated growth rate on top of what you're seeing at the exit of this year. Is there any -- can you just try to -- maybe just poke holes in what we're seeing here and help us understand why there wouldn't be more acceleration?
Thomas Hirsch: Yes, Darrin, it's Tom. And then I'll turn it over to Jeff. I think, as you know, our business model, as Jeff kind of highlighted in his comments, when we bring on this revenue, we're extremely focused on high quality recurring revenue. And it does take time to build up. We made, I think, great progress, where our guidance, as you know, internal revenue growth of 4% to 4.5% coming off a year of 3%. Just your question on the headwinds side, we indicated last year that we had a little bit -- around 1% headwind coming in on the combination of 2 events. And we have about 1/2 of that coming into '14, as Jeff highlighted in his prepared comments, both in our biller business and in our international. So that's clearly helpful. If you wanted to articulate that, it's about 50 basis points of help in '14, but we're still growing on top of that, roughly kind of 1%, given our actual internal growth rate that we had in 2013. So that 1% is about $40 million. There's always puts and takes in every year that we have. But again, I think you'll see that momentum continue to build as we kind of go through the year. We have a lot of our new business, our new clients that are coming on from Open. Primarily, that is going to implement in the second half of 2014. And that should gives us nice momentum, again, to kind of build off that as we leave '14 and kind of come into 2015.
Jeffery Yabuki: And Darrin, I would say that if you take a look at the performance of the Payments segment or both segments, but really the Payments segment through the year, we, obviously, had a better second half of '13 than we did in the first half. And we would expect to see that same performance in '14. I think one of the things that is going on and one of the reasons why we are where we are in the guidance is, on top of the headwind issue, I mean, we are, obviously, dependent upon our clients to go live. And there are implementations that have moved a little bit. And in some of these cases, it doesn't take very many implementations to have some kind of an aggregate effect. So that's one of the issues. The other thing, frankly, is as we ended up the year, we mentioned we had quite a strong sales quarter. And we had actually a very strong sales year overall. But the mix of that business really biased much more to recurring revenue and more complex hosted implementations. And that has a real -- as we shared at Investor Day, it has a real impact on how we can, in fact, recognize that revenue. I think if you look at our balance sheet, you'll see that deferred revenue is growing. You can see how our cash flow looks. You just got a number of those factors that come into play. And the other piece of it, frankly, is as we sit here today on February 5, there are a number of puts and takes that we can see in the landscape. And we think that where we are right now is the best place for us to be. We feel good about the fact that we're in our long term -- within our long-term outlook. We feel good that we're going to continue to step our revenue up through this year. And as we mentioned, we're not giving guidance for '15, but we do feel good about where we see our exit rate. Just like we kind of had the 4% exit rate this year, right, on the heels of a better second half performance, we would expect to see a similar outcome, all things being equal, on February 5, 2014 as we exit this year. So we actually feel quite good about where we are from a revenue perspective. And we will see that build throughout the year.
Darrin Peller: Yes. Now that makes sense, I mean, especially as you see the increased percentage from some of the faster growth areas improve your mix. And you're right, the end of the year did certainly show up in that way. I guess, just going one step further, and I'll turn it back to the queue. On the Financial side, we certainly are seeing momentum with RFPs. I mean, you're seeing a lot more deal signage. I'd love to hear your perspective, what exactly you think is going on in the market around the banks, and your customer base, that's really driving how much more demand today. Is it vendor consolidation, is it more just cost efficiencies that are pent-up? Can you give us a little more color on how it's become so much stronger, and if it's sustainable?
Jeffery Yabuki: Darrin, when you talk about the RFPs, are you really talking about, on the core account processing side?
Darrin Peller: Yes, exactly. On the Financial side, it's definitely taken a new, sort of level of growth, and it seems to have a new life to it.
Jeffery Yabuki: Yes, I mean I would say, it's interesting that you say that, and Mark spent time talking about this at Investor Day, and I'll give a little bit of perspective and let Mark answer the question. I mean, I don't think we would say there's more -- necessarily more RFPs. I mean there are lesser banks in that space. There is some M&A activity, and often, when you see -- have M&A activity in that space, you end up having 2 banks come together and they decide to go to RFP. I think for us, we would say that, we had not had the success that we've had in that space. I think we mentioned in our prepared remarks that not only had we won, I think, 6 deals when we talked on December 10, at Investor Day, but we've actually -- in the large bank space, we actually won 3 additional since then. Was it 7? It was 7, sorry, Tom corrected me. So we -- it's really our value proposition that is resonating more, and frankly, I think that's what's starting to separate us, but Mark...
Mark Ernst: I got to say, I'm not sure that we would conclude that we're seeing more RFP activity. You may be kind of hearing about it in a way that you haven't historically, but the strict RFP activity looks pretty similar to what we've seen historically. It's a little bit different between banks and credit unions. On the bank side, as Jeff mentioned, when you -- we are seeing more activity when 2 banks are coming together, and we are seeing some of that. And the consequences, as many of these banks are looking for their own business plans and how they expect to grow into the future, they are, in fact, looking at their core platform and whether or not that platform can take them into the future. And I think something like WashFed that we announced this morning, is a great example of that, as they are rapidly growing. They knew they needed a different technology platform from which to enable that growth. So we are seeing that, but it's probably not more activity. It just may be more prominent activity. On the credit union side, that one I'd say is a little bit different. When we think about the credit union, I think this past year there was a lot of activity, induced in many ways by us and in our combination with Open Solutions. We don't think that is going to sustain at the kind of rapid clip that you saw last year, in terms of the amount of -- kind of activity that's noisy in the market. But that remains to be seen. Clearly, there is a bias toward kind of leading technology in the credit union core account processing world, and we think we are really well positioned with that, because of the DNA and the kind of multitude of platforms that we have that position us well to be able to meet a variety of different credit union needs. So spending -- more color than you were looking for, but I think we are pretty close to this market and feel good about where we're positioned.
Jeffery Yabuki: Hey Darrin, I would say just -- I would make 2 other points that I think are important. One's a little bit more of a global point, and that is -- we talked about Investor Day is -- this maybe overly generous, but there's almost a democratization of the technology availability, in that these mid to large banks, who are historically have competed with these larger banks, it's been very difficult for them. Now we are making -- generally making those kinds of technologies available. And so our value proposition as these banks focus on areas like channels and payments and other kinds of things, they want that value proposition that looks a lot like the very large banks. And because of our market-leading, kind of best-in-class technologies integrated into these cores, it's a much more valuable proposition. And then the other point that's really important is the Washington Federal deal that we announced today, we could not have responded to that RFP had we not owned Open Solutions, because we actually did not have a real-time, in-house solution. And so we would have been excluded from that, and that transaction ended up being very attractive for DNA. But multiples larger because of all of the other add-on solutions that we added to that. Those kinds of things will end up not just seeding the Financial segment, but actually the majority of the revenue in that transaction will actually show up in the Payments segment over time.
Mark Ernst: The other thing that I'm going to add to Jeff's comment, in that large bank segment, call it bigger than $3 billion banks, maybe up to $30 billion, this past year, we won -- we landed new clients with 4 different platforms. That is the importance of having a variety of different technologies that meet different needs of different institutions, different strategies, so...
Darrin Peller: That's part of the genesis of the question I had is from your Investor Day, hearing about all the larger, $3 billion -- $3 billion to $30 billion sized banks being an opportunity for you guys. But that's been -- it's all been very helpful color, guys.
Operator: Brett Huff from Stephens Incorporated.
Brett Huff: I just have one question, and sort of bigger picture. You guys have amassed a really good set -- suite of services, and I think your other competitors are moving along in that way as well. What is the -- can you kind of outline your strategy as it differs from others? It seems like you guys have a lot of success with the cross sale, bill pay, card processing, et cetera. I mean, are you -- is it a proprietary system that you're implementing? Is it an open system? Kind of what is the strategy that allows you to win those deals? Are you bundling, are you pricing more aggressively? I just think your string of cross sales continue to be really impressive. And so what's the strategy that's winning there for you?
Jeffery Yabuki: I wish, Brett, I wish it were as simple as a one-size-fits-all answer. I mean, I would say that early on, if you think all the way back to 2006 when we introduced this, we were probably selling a little bit ahead of our value proposition. We were talking about integration, we were talking about what are those services that we can bring that will allow us to help our clients best serve their customers. And over the last several years, we have buttressed our integration. We have real integration advantages in our payments platforms. We have real integration advantages in our channels platforms. We've looked for places where data allows us to provide new value, and it's very early, and it's not meant to be a big data comment, but data ultimately will be very important in how this all works together. We've clearly bundled in many cases. We know that at times, we need to work with our clients to allow them to have access to more of our technologies, and we're willing to do that in a way -- we care a lot less, for better or worse, we care a lot less about the revenue that's created instantaneously. We care about the revenue that's created over time, and how do we think these clients will grow. And so we try to use more creative pricing strategies where we can and where it helps our clients step into our technology. And we've actually done a fair amount of that over the last year, and I'm really excited about some of the creativity that Tom and Mark and their teams have brought to bear on that. And then, the last piece is, our people really believe it's valuable. I mean we have -- we spend a lot of time talking about the advantages that we bring. We reinforce it. We hold people accountable to delivering this value that we know is there for clients. But at the same time, if there's a client who doesn't want our solution, we're open to integrating other people's solutions in here. It's not a proprietary -- we have many proprietary products, but it's not a closed loop. All right? We are open to allowing other solutions to come into our market. In fact, if we don't have the best solution, we would encourage other folks to -- we would encourage integration with other solutions. So that's clearly part of our value proposition. And then, the last thing I would say is, we've dramatically improved our reference ability because we've introduced a service model over the last couple of years that encompasses and brings together the fact that you can't have a single service manager anymore. You have to have someone who can manage a holistic relationship, and that was one of the challenges that we had early on, and we've seen significant improvement in that area, and much happier, much more engaged clients who are, frankly, happy to tell their friends.
Mark Ernst: And I'd just say, one other thing I would add to that is, and Jeff talked about the fact that we offer kind of a -- clients to pick and choose or do what they want to do. But one of the advantages that our clients regularly report to us is they see that we have the market-leading surround solutions, and because of that market-leading position that we have with a variety of these additional add-on services, it actually allows people to have confidence to take a full suite from Fiserv, rather than needing to go elsewhere, and that integration advantage that we build into our technologies that we add-on, really is very real, that brings sort of financial benefits back to our clients when they bring in Fiserv solutions.
Brett Huff: That's helpful. Just one last question. Any update on the bill -- mobile banking and the peer-to-peer revenue/business model, and I'll get back in the queue.
Jeffery Yabuki: I'm not -- so -- I would say, if that's about real time -- Brett, are you still on?
Brett Huff: Yes. I just -- it's -- the mobile banking that you guys have had success with, is that going to be sort of like Internet banking, where it's a couple of bucks a user a month, or kind of where is the revenue model there, just on the Internet -- or mobile banking piece? Or is it really going to be the add-on services of bill pay that you've given away for free, to make money in the back end? And then the same question for peer-to-peer, I know you guys are talking about trialing different...
Jeffery Yabuki: As we sit here today, we have multiple ways for clients to acquire those technologies. You have a license and services model, you have a licensed services and hosted model, and then we have -- the more broad solution is an ASP subscriber-based model. And we added nearly 1 million users to that model this year. Our tablet solution works exactly the same way. We signed 200 clients in 2013, and we're -- and got -- went live with 100 of them late in the fourth quarter. And that's on a subscription basis is as well. So it's -- any of those models depend on the strategy of the institution. We see this to be economically viable in its own right, and then integrated with our additional solutions, I think one of the slides we had at Investor Day, are things like source capture, mobile capture, P2P and a variety of other kinds of solutions that are additive in the mobile wrapper.
Operator: Glenn Greene from Oppenheimer.
Glenn Greene: I guess the first question, just want to get clarification on the Open sort of synergies that you're assuming into 2014. I think you sort of called out within the $60 million Operational Effectiveness and this $250 million integrated sales, has it included Open? Anyone can give us some color and give us some perspective on how much of the total Open synergy should be realized by the end of '14?
Thomas Hirsch: Yes, I think most of those synergies were realized in '13, and we have another piece that's coming in, in 2014. So I would say again, the amount of synergy value from a cost synergy standpoint is less in 2014 than it was in 2013. That being said, we continue to have good momentum with that, and the cost synergies where we said greater than $60 million, that's going to be largely accomplished in 2 years, Glenn, to give you a little perspective of that. And then a little bit in year 3 also. We'll have some in there, in one particular area. So that's from a cost synergy standpoint. I don't know if you -- on the revenue synergy, clearly it's going to be the other way. It's going to take a number of years as we continue to build that from an integrated sales target standpoint, we've built in those revenue synergies. You saw our success in '13 and our increased target in '14. So that is going to continue to build over the next several years.
Glenn Greene: So the $250 million integrated sales doesn't assume a lot for Open in 2014, and then it sounds like you realized a fair amount of 2013 synergies already?
Thomas Hirsch: On the cost side.
Glenn Greene: Can you -- how much was that? Of the total $60 million was realized in '13?
Thomas Hirsch: I would say, it's probably 1/2, somewhere plus 1/2 of that. I don't have that in front of me, Glenn. But it's somewhere around there. And there will be, by the way, there will be an integrated sales piece this year related to Open. I mean, we have some good momentum there, and so there's -- that revenue synergy, that annual revenue will have a good year this year and more momentum as we head into '15.
Glenn Greene: Okay, that's helpful. And just a different direction. You may have referenced this at the Analyst event, but maybe for Jeff, any change in your international aspirations? Ambitions there?
Jeffery Yabuki: No, I mean we laid out 3 or 4 areas at Investor Day that we feel are good opportunities for us. They link to where we have competencies, they link to where we have relationships and leadership. And we shared -- there were a couple of areas in payments and some interesting areas in the account processing area. And what we said is, we expected upon execution that, that would add about 1% of incremental internal revenue growth in 2016. So we're executing that. It's early, but we remain confident that we can grow that piece of the business. Obviously, the substantial majority of our growth is coming from the U.S. operations. And so this is kind of an add-on, so when we talk about our results, just don't have a meaningful -- at the enterprise-level, we just don't have a meaningful international growth in our numbers.
Thomas Hirsch: We're going to be careful, as Jeff kind of hit on, around our business model, which is really again, focused on high-quality revenue, accretive to operating margins with a very high cash flow conversion. You can see the strength of kind of our business model this past year with the -- our free cash flow per share at $3.33, 10% again, ahead of our -- on top of our adjusted earnings per share. So we're going to be very focused on having the right business models internationally that are going to kind of have those long recurring revenue streams, and it's very important in our discipline in that regard.
Mark Ernst: The key implication of that is, even the efforts that we have underway today are not going to show up in revenue growth for a couple of years.
Glenn Greene: Understood. Makes sense. One more quick question, just in terms of the fiscal '14 organic growth. Does it assume any meaningful pickup in the cash hedge P2P business? Or sort of still, sort of working to preserve[ph]  the revenue business model there?
Jeffery Yabuki: I think it will assume meaningful increase in transactions, but not a meaningful increase in revenue. It's still quite early.
Operator: David Togut from Evercore.
Rayna Kumar: This is Rayna Kumar for David Togut. Can you just quantify your expected operating margin expansion, between your Payments and Financial segments?
Thomas Hirsch: Yes, we don't give guidance at that particular level on a segment basis. I think, again, we don't see anything from a standpoint -- overall, our margin guidance is greater than 50 basis points. So I don't see any large variations from a standpoint of what we anticipate in the future, any unusual items from either segment as I sit here today. So I don't think there's going to be anything unusual from a modeling standpoint.
Rayna Kumar: Okay, could you call out the termination fees in the fourth quarter of '13, and then the fourth quarter of '12?
Thomas Hirsch: Yes, our overall, excluding Open Solutions, our term fees in the quarter were up about $5 million to $6 million, but our license revenue was down about the same amount. So they were up a little bit from a term fee standpoint, excluding Open and again, down on license fee. For the full year standpoint, excluding Open, yes, our term fees were flat, and our license revenue was down about $10 million to $15 million. And that again, is around, as Jeff and Mark have kind of highlighted really, a big focus on the recurring revenue, our Mobiliti platform, those types' demands in the marketplace where the license revenue has kind of come down from those levels.
Rayna Kumar: Got it. If I can just sneak in one last question, do you have any major bill pay renewals in 2014? And could you just give us an idea of how we should be thinking of bill pay transaction growth for '14?
Jeffery Yabuki: Yes, we don't give kind of -- we wouldn't be giving transaction growth guidance on a solution-by-solution basis. We expect to have good, solid growth in that business again this year. Each year, we have some larger renewals and this year is not dramatically different than kind of a normal year.
Thomas Hirsch: Yes, we'll have a couple, as we normally do.
Operator: Ramsey El-Assal from Jefferies.
Ramsey El-Assal: Can you update us on the Open Solutions contribution to total revenue in the quarter? Is that anything you've ever broken out or would consider?
Thomas Hirsch: Yes, you actually -- I mean, for a large part, we disclose our acquired revenue. We're not going to do that on a go-forward basis, but clearly, that is the -- primarily the acquired revenue associated with Open that you see in the press release.
Ramsey El-Assal: Okay, got it. Another question, in terms of the real-time payments capability, I mean Popmoney is more of a consumer solution, but it would seem like the real-time capability could really help any business that has to authorize transactions up front, only to settle from the backend with ACH later, which obviously can lead to meaningful amounts of fraud loss. So are you speaking with or contemplating speaking with any non-bank, heavy ACH settlers, I'm thinking like a PayPal or I know, Target Red card would be something where they're having to off the transaction and then settle with ACH later. I mean, how broad could your use case become for real time, outside of sort of what you're -- what you've sort of discussed to date?
Jeffery Yabuki: There is no question that the use case, the use case is, I mean you take something like Popmoney, right, I mean that is a very basic real-time use case, being able to have an expedited bill payment, that's a pretty basic use case. So C2C use cases are kind of the easy ones. C2B use cases get a little bit -- you kind of have that ladder of complexity or opportunity. I mean, we have thought about this very broadly in terms of the network effect possibilities. By the same token, we want to drive significant value for issuers. I mean, we certainly have relationships with merchants and billers, but we have larger relationships with issuers. And so we're really focused on the issuer base right now. We're building the capability to be used as broadly as it can be used. But right now, issuers are our primary focus. And we do see, again, talking to issuers, we talked about this at Investor Day that, I think we used U.S. Bank and PNC as examples of large institutions who were thinking about real-time, and we talked about U.S. Bank using our PEP+ direct connect capability as their real-time engine, right? If U.S. Bank decides to make that available to a merchant or a biller, that's fantastic, because they'll drive revenue from that. But we, at this stage, that is where our focus is, on the issuers.
Operator: Tien-tsin Huang from JPMorgan Securities.
Tien-Tsin Huang: Just -- I always follow through with the pipeline, forgive me, but just wanted to ask again about sales conversions and timeliness of backlog conversion, things like that. Any change in what you're hearing on the ground there?
Jeffery Yabuki: No, I mean, I think actually, our pipeline is in pretty good shape. We had a big fourth quarter, and we have a healthy pipeline. I mean, we'd always like that pipeline to be larger, but I mean we're going to actually end up -- we had a very strong January. We announced, obviously, the Washington Federal deal, that was a large deal. So I mean, we're in good shape on that front. Now as we move through the year, we'll expect that pipeline to build, especially as we start thinking through some of the International opportunities. So the pipe feels like it's in reasonable shape, given where we are and the strong finish to Q4. On the conversion timelines, it's one of the things I was talking about earlier, in that we do see some slippage there, right? There continues to be some challenges, especially in the largest banks, in terms of how they're prioritizing everything from last-minute regulatory changes, to changes and challenges to the revenue model. So we don't -- we're not anticipating -- I'd say it this way, we're not anticipating any aggressiveness or acceleration in implementation timelines and, in fact, I would say, if you pressed us, we would probably say that we would see more slippage, as opposed to acceleration anywhere. And we've accounted for that, generally accounted for that in our guidance this year.
Tien-Tsin Huang: I'm asking because we cover some of the systems integrators as well, and we hear mixed things, but it does feel like there's a mix shift towards some of the mobility and some of the digital stuff that you're talking about. And of course, they're cutting in other areas also to reduce cost, so how does -- how do you think the Fiserv portfolio fits if that theme plays out, because you sit in a lot of different places. If you think there'll be more volatility this year or less, in terms of conversion? I caught what you said about the slippage, but just trying to understand a little bit deeper the secular implication, if that question makes sense.
Jeffery Yabuki: Yes, so if you take it down to the product portfolio level, clearly, since 2007, we have seen less discretionary spending across the entire portfolio. If you interject the impact of digital and specifically mobile, tablet, those kinds of things, you're exactly right. We've seen a product go from 0 to really commanding a significant amount of the incremental spend. And because we know what IT spend is, obviously, something's got to give. The good news for us is, most of what we had been doing discretion -- on a discretionary basis, has already left our portfolio. We still have, believe me, we still have plenty of opportunities to see reduction. But a lot of what we do, a substantial majority of what we do, sits in these mission-critical places like core and ACH and Online Banking, and it's all kinds of transaction processing which is just not -- it's not going to be -- that's not going to be on a discretionary basis. And because we don't have a gigantic services and license portfolio, a lot of what our revenue is, is on a click basis. We aren't seeing the kinds of big pressure that I think systems integrators may, in fact, be seeing. It does put more pressure on -- kind of the speed in which mobile and digital is moving, puts more pressure on us to invest and to continue to make sure that we have the right products. As we showed at Investor Day and we referenced again today, we've completely reengineered our Corillian ASP experience, and that experience, which really reflects what's going on in the world today, I mean that takes investment. So those kinds of things do, on the bottom side, cause us to spend more money. But I think, as I think about our portfolio versus other portfolios, I think we have a portfolio that is biased to more growth over time and, frankly, more quality growth, as Tom talked about just a few minutes ago.
Tien-Tsin Huang: Great. Just one quick follow-up. The Open, how did that come in versus plans?
Jeffery Yabuki: I would say that on virtually every front, Open has outperformed our expectations. And there were lots of stories out there about the product, and you worry sometimes that, that's not product it's people. I mean this is a great group of people, we're excited that we have them in the company. The clients, I mean just -- I mean, considering it was a competitive acquisition we use to compete, the clients have been so open to the kinds of capabilities that we can bring. It's -- that's been frankly tremendous. The cost we got out,  as Tom referenced, we got out a little bit quicker than we thought we would. And we have another phase of consolidation that we'll be working on this year, that'll show up next year. And then on the revenue side, we're going to sell hard and I think that will all be positive. 31 wins as compared to 10 last year and, in fact, of those 10, only 3 of them were within their own shops, 7 of them, they were actually through resellers, so that's all been great. I would say on the not-as-good front, frankly, there just wasn't as much current revenue as we were anticipating in 2013. Our current revenue was lower, and it was lower because we didn't get the level of reseller revenue that we had anticipated -- or I wouldn't even say that we anticipated -- that was built into their model. And surprisingly, the number of termination fees was dramatically less because we didn't lose very many clients. So that's bad news up front, but not having resellers in the base, not having termination fees in the base, we think it's very good, and we still feel like, as Tom shared at Investor Day, that we'll end up -- this will end up being somewhere 4 or less, on an EBITDA multiple basis.
Operator: Kartik Mehta from Northcoast Research.
Kartik Mehta: Jeff, there's been a lot of talk about branch consolidation or at least banks looking to do there. Is there any positive or negative impact to Fiserv because of that?
Jeffery Yabuki: Probably some positive and some negative impact to Fiserv. I mean, I would say in the near term, as -- if you think about as banks consolidate, I mean there could be some seat implications and things like that on teller systems or source capture licenses and those kinds of things. But on balance, the notion of branch consolidation I think is a very good thing for us because we sit in a very prime spot as it relates to providing the technologies that are going to be required to interact and build relationships with consumers. And I think probably the thing that is most missed when we think about digital, is if branches really consolidate, I mean, I think the -- if you think about the key change in the model, which is probably 20, 30 years away, right, as people like me die off, you're going to have the requirement for the technology to facilitate the equivalent of a face-to-face relationship. And the dependence on that technology and the predictive ability that'll be necessary in that technology, those kinds of things will drive significant revenue opportunities for the companies who can figure that out. And, frankly, we believe that we may not be ahead of the curve, but we're on the curve, and we're focused on that. I mentioned that we have 22 patent applications filed in 2013, it's because we're creating new innovation that is focused on this converging technology. So I think over the long haul, it'll be good for us. It'll probably be good for all the providers. And it's hard for me to see how it becomes bad. I think you'll see video and other kinds of technologies play an important role in that. So right now, I would say, it's interesting, but I don't think there's a significant impact on us, so long as the institutions themselves are able to keep up with that trend.
Kartik Mehta: Fair. And just one last question. Mark, you talked about RFPs, and maybe last year some of the credit union RFPs were created because of Open Solutions and maybe what you were trying to get accomplished. I mean, as you look into 2014, is there any difference that you're seeing in spending between credit unions and banks? Or is it more normalized?
Mark Ernst: Well, I'd say it looks different. You have much more kind of active consolidation and trends there in the banking side of the business than you do on the credit union side. But even there, you still have some of that going on in the credit union side of the industry. Probably on balance, credit unions are more likely to look at technology to better enable member service, and therefore, they may be kind of more on the leading-edge, looking for new technology. And I don't think there's any indication that's different in '14 than where it's been. But on balance, I don't know that we see different things going into '14 than where we've been, other than the fact that the issues with the Open acquisition and the various kind of financials -- credit unions in particular that were in motion, that had to settle out in '13, that's behind us now. So I think that's the big change, going into '14.
Jeffery Yabuki: And thanks, everyone, for joining us this afternoon. We know we went a little bit longer than we thought we would. We appreciate your support. For those people who may have questions, please feel free to contact us. Contact our Investor Relations group. Have a great evening.
Operator: Thank you. That does conclude today's conference. Thanks for joining us this afternoon. If you have further questions, please don't hesitate to contact our Investor Relations team. Thank you.